Operator: Good day, and welcome to the NCR Corporation's Second Quarter Fiscal Year 2018 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Michael Nelson, Vice President of Investor Relations. Please go ahead, sir.
Michael G. Nelson - NCR Corp.: Good afternoon, and thank you for joining our second quarter 2018 earnings call. Joining me on the call today are Mike Hayford, President and CEO; and Bob Fishman, CFO. Before we get started, let me remind you that our presentation and discussions will include forward-looking statements. These statements reflect our current expectations and beliefs, but they're subject to risks and uncertainties that could cause actual results to differ materially from those expectations. These risks and uncertainties are described in our earnings release and our periodic filings with the SEC, including our Annual Report. On today's call, we will also be discussing certain non-GAAP financial measures. These non-GAAP measures are described and reconciled to their GAAP counterparts in the presentation materials on the Investor Relations page of our website. A replay of this call will be available later today on our website, ncr.com. With that, I would now like to turn the call over to Mike.
Michael Dale Hayford - NCR Corp.: Thanks, Michael, and thank you to everyone for joining us today for our second quarter 2018 earnings call. I will begin with some of my views on the business before turning it over to Bob for a review of the quarter and our updated outlook. Then, Frank, our Executive Chairman, Paul, Bob, and I will take your questions. As you might expect, I've had a busy three months since joining NCR. I spent the last 90 days doing a deep dive into our company, our strategy, our customers and our resources. This includes dozens of key customer meetings and interactions with thousands of our employees around the world. These engagements clearly illustrate to me that while the macro environment for the industries we serve remains favorable, we lost our focus on supporting our customers and delivering our products to the market in a timely fashion. I believe this was a result of our complex structure and the management transition we went through this past year. These issues can be and will be corrected. I would like to take a few minutes to share with you my early observations on NCR and discuss our top strategic priorities as we look to accelerate our growth and best position NCR to create long-term value for our shareholders. Slide 3 presents my key initial observations during my first month as CEO. The first is the value of the NCR brand. The NCR that customers know today was built over 130 years of shaping how businesses and consumers conduct transactions and a commitment to delivering competitive advantages to businesses of all sizes. Our brand equity is supported by an incredible team of employees that live each day with a true passion for NCR, its customers and for our global leadership in the consumer transaction technology. Second, our important customer relationships around the world are just as critical. We are a valuable business partner for customers across a number of attractive markets, including financial services, retail and hospitality. We have achieved this trusted position by delivering leading software and hardware solutions supported by strong service organization. While we have built a large global customer base, there is much more we can do to elevate the value and quality we provide. This is all within our control and we have developed an action plan to address this, which I'll discuss in a few minutes. Third, NCR has a well-established global sales and distribution network that enables us to sell in over 180 countries. And fourth, we have over 30,000 dedicated, energized employees who are committed to our success. In short, we have achieved much to-date and have demonstrated success building our Software business, reinvigorating our Services offerings and building remarkable global client base, but we can and we will do more. We have identified critical areas that need to be addressed so that NCR can become an even more valuable and strategic partner to our customers. Let's review those on the next slide. Our first priority is to take care of our customers. Despite our best efforts, we have fallen short in some areas, mainly execution and delivering products of the highest quality. This is impacting each of our businesses, Hardware, Software and Services. These issues are entirely unacceptable and self-inflicted. However, they're also correctable and we're moving urgently to address them. Second, as part of our plan to bring products to the market faster, we have created five teams that are focused on addressing strategic solutions to accelerate growth. These teams have already begun to attack execution issues with the goal of getting quality right, resolving any open issues and better connecting the customer voice with the development and deployment of our products. Thus far, as our teams have made strong progress, including launching targeted integration and quality testing programs and we are beginning to see positive results. The third key priority is to streamline the business by simplifying what we do and making it easier to do business with NCR. There are organizational silos that need to be deconstructed and the pathways to bring solutions to the market need to be simplified. We believe getting closer to our customers, getting solutions to the market faster and streamlining the business will accelerate growth. At the same time, we will continue to diligently manage our costs and seek to capture operational efficiencies as part of the normal course of business. Our previously announced restructuring and transformation initiatives continue to progress on track. In Services, our Mission One performance and profit improvement program continues to deliver revenue growth and margin enhancement. Our Hardware transformation initiative is moving to a more variable cost structure by reducing the number of manufacturing plants and increasing the use of contract manufacturers. This will begin to yield savings late in 2018 and into 2019. We will continue to emphasize free cash flow generation. Moving forward, our capital allocation strategy will be focused on the share repurchases to offset normal annual stock dilution. We believe we can leverage our strong global sales and distribution channel and provide additional compelling solutions and products to our customer base to continue R&D, targeted products M&A and select partnerships. Lastly, in a separate release this afternoon, we announced a number of organizational changes designed to enable faster decision-making, greater accountability and elevate our focus on our customer. Aligning our senior leadership team into two business units, Commerce and Banking, simplifies our business structure and will enable us to improve product quality and execution, while driving higher customer satisfaction levels and ensuring the voice of the customer is clearly heard. Owen Sullivan has joined NCR as our new Chief Operating Officer. Previously, Owen served as a Divisional President at ManpowerGroup. Prior to that, he was the Group President at Metavante. Owen started his career at IBM. Paul Langenbahn will become President of NCR Commerce, which covers retail and hospitality. Frank D'Angelo has joined NCR's President of NCR Banking. Frank's career spans 35 years in financial services and payment industries including leadership positions at FIS, Metavante, and Diebold. Tim Vanderham has joined NCR as our Chief Technology Officer and will lead the Software organization. Tim most recently served as CTO of Thomson Reuters and previously spent 18 years with IBM. And Deb Bronder has joined NCR as our new Chief Human Resources Officer. Most recently, Debra led Human Resources for Cardtronics and previously led HR at Metavante. And finally, Bob Fishman has decided to retire from NCR. Bob has been with NCR for 25 years. And during that time, he has made countless contributions to the company. I wish him well in retirement. Bob has agreed to stay on board during the transition while we finalize the search for a new CFO. I along with the rest of the NCR executive team look forward to providing you with a more detailed update on our strategy, operations and progress during our next Investor Day, which will be held on November 7. Before passing it over to Bob, I want to emphasize that the current priority is fixing our execution challenges. We have a plan and we expect our efforts over the next six months will position us for success in 2019. With that, let me pass the call over to Bob.
Bob Fishman - NCR Corp.: Thank you, Mike. I have thoroughly enjoyed my 25 years with NCR and it has been a privilege to be the CFO for close to 10 years. I will miss all of the great people at NCR and want specifically to thank the finance team for all of their help and contributions over the years. Moving to slide 5, revenue for the quarter was $1.54 billion or down 5% on a constant currency basis. FX was roughly $20 million more of a headwind than we had originally anticipated at the beginning of the quarter as the dollar strengthened. After adjusting for FX, revenue was approximately $40 million less than our guidance due to lower-than-expected Hardware revenue. This lower Hardware revenue was primarily due to ATM supply issues as we transition from the 30 Series to the 80 Series. I will talk more about this when we move to the Hardware segment detail. Recurring revenue continues to be a good news story with growth of 4%, representing 48% of total revenue in the quarter. Gross margin rate was down 100 basis points constant currency in the quarter. Services margin continued to expand, but was more than offset by declines in Software and Hardware margins. Non-GAAP diluted EPS was $0.65 in the quarter versus our previous guidance of $0.60 to $0.65. FX was a $0.02 headwind from the beginning of the quarter. EPS was helped in the quarter by favorable tax rate. We had guided to a 22% tax rate and landed at 16% due to favorable discrete items, which provided a benefit of approximately $0.05. EPS was negatively impacted in the quarter by the flow through on the previously mentioned lower Hardware revenue. The non-GAAP diluted EPS decline of 20% constant currency versus the prior year was primarily due to lower revenue, margin pressure in Hardware and continued investment to improve execution. Free cash flow in the quarter was up $9 billion versus Q2 of last year due to working capital improvements, primarily in accounts receivable. Moving to slide 6, you can see our segment results by revenue and gross margin. Services continued its strong performance, with revenue up 4% and gross margin expansion of 70 basis points. Software revenue was up 1%, led by cloud growth, but gross margins were down due primarily to lower software license revenue. Hardware revenue was down 16% in the quarter and margins were down 400 basis points. We will now go into more detail on each of the segment results. Slide 7 shows our Software segment results. Cloud revenue was up 7% in the quarter with net ACV of $14 million. Software license revenue was down 12%, primarily due to lower hardware sale and unattached software license revenue. Operating income was down driven by lower software license revenue and continued investment in the business, offset somewhat by margin expansion in cloud and software maintenance. Slide 8 shows our Services segment results. Revenue was up 4% as we continue to benefit from managed service offerings, channel transformation trends and improved customer satisfaction. Gross margin continues to expand based on our Mission One initiative to improve productivity and efficiency. Slide 9 shows our Hardware segment results. Revenue was down 16% in the quarter, with ATMs down 21%, point-of-sale down 16% and self-checkout up 3%. ATM revenue was down more than expected in the quarter due to supply challenges, including key part shortages as we continue to transition from our 30 Series product line to our newest 80 Series product line. The supply constraints were unrelated to our transition to contract manufacturing. ATM orders were very strong and grew for the second consecutive quarter, resulting in significantly higher backlog as we enter the back half of the year. We view this as a positive sign of increased demand for our new ATM family. Self-checkout revenue was up in the second quarter after being down in the first quarter of the year. Point-of-sale revenues were lower in the quarter compared to growth of 18% in Q2 of 2017, which benefited from several large customer rollouts. Hardware gross margin was down significantly in the quarter due to lower overall revenue and unfavorable product mix, some pricing pressure and higher costs due to our execution challenges. Our Hardware transformation initiative that we discussed in our Q1 earnings call continues to progress on track. We are moving to a more variable cost structure in the Hardware business by reducing the number of manufacturing plants from six to three and transferring more manufacturing to contract manufacturers. The Beijing plant was closed at the end of Q2 and the other two plants are expected to close by the end of the year. Slide 10 shows our free cash flow for the second quarter and year-to-date. While we grew free cash flow in Q2 by $9 million, we are behind the prior year at the halfway point of 2018. This is primarily due to the ATM supply issues discussed earlier and increased inventory as we drive higher revenue in the back half of the year and transition to our contract manufacturers. As a reminder, the majority of our annual free cash flow is typically generated in the fourth quarter. Slide 10 also shows our net debt to adjusted EBITDA at the end of Q2. We are at 2.6 times, which is unchanged from last year. Slide 11 outlines our guidance for the full year. The execution challenges surrounding product introductions, including supply chain challenges, is negatively impacting our revenue and costs versus our previous expectations. We are focused on improving execution in the current year to benefit 2019. For 2018, we are now guiding reported revenue of minus 1% to minus 3%. FX has negatively impacted our as reported revenue by roughly $90 million from our last earnings call. In addition to FX, we are seeing softness, primarily in our Hardware and Software businesses due to our execution challenges. We believe that Hardware will be closer to the low end of our previous expectation of flat to down mid-single digits. Our view of ATM revenue is unchanged at roughly flat for the year and is supported by strong backlog. We expect Software will be approximately flat versus our previous guidance of up low- to mid-single digits. We are seeing pressure in software license revenue, primarily as a result of lower Hardware sales. We also now expect cloud revenue to grow roughly 6% to 7% versus our previous expectation of approximately 10%, as bookings are taking longer to convert to revenue and net ACV is lower than we planned. We still expect Services to be up low single-digits for the year. We are now guiding our non-GAAP EPS to $2.55 to $2.75 from $3.30 to $3.45. Approximately half of this decline is from the lower revenue guidance, including a higher flow-through from the Software business. The remaining decline is due to pricing pressure, mix in the Hardware business and higher cost to address our execution challenges. As we focus on fixing our execution challenges, we expect improvements going into next year. FX is an $0.8 EPS headwind from the last earnings call, but is offset by the improved full year tax rate and share count. We have assumed a tax rate of 23%, other income and expense of approximately $205 million and a share count of $151 million. Our GAAP EPS has decreased from our prior guidance, consistent with the decline in non-GAAP EPS and also due to the write-down of Hardware goodwill and other assets. We have taken a $146 million write-down of Hardware goodwill and $37 million write-down of other Hardware assets due to expected lower operating performance of the Hardware business. Additionally, the restructuring and transformation charge included in our full year GAAP guidance has not changed. We recorded a $66 million charge in the second quarter related to these activities. A reconciliation of the GAAP to non-GAAP EPS is included in the supplementary schedules. We expect free cash flow to be approximately $300 million to $350 million or 80% to 90% conversion rate. The decline in free cash flow dollars is due to the drop in net income. The impact on the conversion rate is due to the flow-through of net income and the relatively fixed nature of non-P&L cash items like capital expenditures. We will continue to provide quarterly updates on our progress towards our full year objectives, but we will no longer provide quarterly guidance so that we can remain focused on prioritizing decisions and maximizing long-term shareholder value. We do expect costs and expenses to be higher in the third quarter as we address our execution and supply challenges. Revenue is expected to be higher in the fourth quarter as the supply issues are resolved and the higher backlog converts to revenue. We expect approximately two-thirds of the full year decrease in non-GAAP diluted EPS guidance to impact the third quarter. With that, I will turn it back to Mike for closing comments.
Michael Dale Hayford - NCR Corp.: In closing, our second quarter results and revised full year guidance largely reflects execution shortfalls that we have identified and are working to quickly rectify. As Bob mentioned, we will no longer be providing quarterly guidance. We'll provide a roadmap focused on the fundamental drivers of the business and our strategic goals at our Investor Day in November. Our long-term growth profile remains favorable, supported by a strong global brand, key customer relationships across our markets, global scale and an ongoing commitment to driving customer success. Today, our strategic mandate is clear: accelerate growth, increase recurring revenues, strengthen the value proposition we offer our customers, focus on customer satisfaction levels and move nimbly to improve performance. We will also build upon our global leadership position to a targeted M&A program that enhances our solutions offerings and offers the highest long-term return on capital. I am pleased with the progress we have made to date on our key priorities. While there's more work to be done, the NCR team has responded with enthusiasm and commitment. We are dedicated to improving the quality of our solutions and creating more simplified operating structure by eliminating unnecessary roadblocks. Although 2018 has been a tough year, our foundation remains strong and the markets we serve remain favorable. We've acted swiftly to put in place a strong industry experienced leadership team that are ready to act on the plan we have put in place. I'm excited about the additions to our executive team, including Frank Martire's active involvement as Executive Chairman. The added talent and focus that Owen, Frank, Tim, Deb will bring to NCR, along with the rest of the executive leadership team, will drive improved execution. I also expect to move quickly to fill the CFO position. I would also like to pass along my appreciation to the NCR board of directors. I've had numerous discussions with every director during my first 90 days and they have been very supportive of the steps I have outlined to improve performance. We are embarking on the next step in NCR's ongoing evolution and strengthening our foundation for a long-term sustainable growth. Thank you for your time. And now Frank, Paul, Bob, and I will take your questions.
Operator: Thank you. And we'll take our first question from Kartik Mehta from Northcoast Research.
Kartik Mehta - Northcoast Research Partners LLC: Mike, just thinking about the supply challenges issues you said and maybe execution issues, I'm assuming they're two different things. And I wanted to find out from your perspective, both of when you think they started and did it impact the first quarter at all as well?
Michael Dale Hayford - NCR Corp.: Hey, Kartik. So, yeah, it's two very distinct things. Let me just address, so the one around – I think we call it execution in our words, it really is around getting some products that we had anticipated bringing to market in the first half of the year, that we're going to sell out our pipeline leading into the second half of the year. So we have a handful of products. We identified five specific areas and we talked about some teams that we put together that we put together almost two months ago where we said let's bring these cross-functional teams together, let's get them working together on bringing a product to the market focused on clients in an expedient fashion. So those teams are in place. They're making tremendous progress. But those products we had anticipated to be in the market up and running and selling as we head into the second half, so that's what's driving a lot of the second half shortfall in revenue. The other component which we talk about is the supply chain. The supply chain is really related to the introduction of our 80 Series ATM and the switchover from 30s to 80s. And actually, what's happened is the uptick on the 80 Series, the demand for those has been quite a bit stronger than we anticipated. That's obviously a very good thing for us, both in the near-term and the long-term. But in the second and third quarter, the challenge we have filling some of the components has stressed our manufacturing. So we've had – Bob talked about very strong orders and a very strong backlog exiting Q2. Obviously, if you look at the revenue of ATMs in the second quarter, it's a little weak, and the revenue going into the third quarter is going to be a little challenged simply because of supply. We're going to fix that. We've actually added additional suppliers for the 80 Series. They've already been certified and they're ramping up to speed. But that's really what's going to hurt us in the second half, both delay of product introductions and then some of the challenges getting the 80 Series. And again, 80 Series, it's just heavy, heavy demand versus what we expected.
Kartik Mehta - Northcoast Research Partners LLC: And then, Mike, if you look at the operating income for the Hardware business, obviously, year-over-year, the incremental decline was pretty significant. And I'm wondering, as you move to an outsourced environment, if you face issues like this, will that help you manage the operating income or will you still have a fairly decent fixed cost basis and unanticipated Hardware declines could have this kind of impact on operating margins?
Michael Dale Hayford - NCR Corp.: Yeah. Again, Kartik, I think as we've talked about the move to outsourcing, it's really doing two things for us. One is that it takes out some excess fixed capacity. So we reduced our fixed capacity in our plants so we can run those plants at a high utilization rate. And obviously, that's going to help us on our unit cost for each of our hardware device. And then, having the outsource partner will give us some variable capability to ramp up when we have a little bit of spike in a product like we're seeing right now with the 80 Series. So I think going forward, we would view the steps we're taking in a similar situation to help us, both with our cost and our ability to scale.
Operator: And we'll take our next question from Katy Huberty from Morgan Stanley.
Kathryn Lynn Huberty - Morgan Stanley & Co. LLC: Yes. Thank you. Good afternoon. So the 80 Series has been in the market for some time. So I just wonder whether you can address why now you're seeing the supply chain issues. And just as a follow on to that, what specific components are you finding in shortage? And do you think because of the mismanagement of the supply chain that there are some deals that you've lost along the way?
Michael Dale Hayford - NCR Corp.: Yeah. Let me start with, I wouldn't actually call it mismanagement of supply chain. I think we're disappointed that we weren't able to get the supply team filled up, but it is literally a ramp up that is materially higher than we anticipated in 2018, so the uplift on sales have been considerably higher than what we had predicted. The product has been out there, I believe, for about a year, a little over a year.
Bob Fishman - NCR Corp.: Yeah. I think that the majority of the certifications have happened this year, Katy. So the product is really ramping in more countries. This year, supply issues were based on what Mike referred to in terms of we expected more 30 Series turning out to be more 80 Series, it was an issue in the second quarter and the third quarter and that'll be resolved by the fourth quarter.
Kathryn Lynn Huberty - Morgan Stanley & Co. LLC: And do you think you've lost any deals because you haven't had the right product on hand?
Michael Dale Hayford - NCR Corp.: No. We actually – the team's working really, really well I think Dianne Campbell and the sales team connected to Adrian Button in manufacturing. So they've been very focused on making sure we get product out to customers as they need it. We don't think we've lost any sales. Actually, as you look at our third and fourth quarter, we've actually de-risked our sales risk just because of the backlog that we built. Team continues to do a nice job. They're just keeping the product moving to the customers in the timeframes that they're looking for. But we do not believe we've lost sales at this point.
Kathryn Lynn Huberty - Morgan Stanley & Co. LLC: Okay. And then just finally, outside of the attached software, because that's understandable, given the Hardware trends over the last few quarters, but what is driving the shortfall in cloud and unattached relative to your expectations?
Michael Dale Hayford - NCR Corp.: Well, so on the unattached, I'd say there's a little bit of Software that goes that we don't call attached, but it's really sold in conjunction with some of our retail products on the SCO side and on the OPTIC side. So while it's not firmly attached, we sell it unattached to the marketplace. When we have shortfalls in Hardware sales, that does impact some of those unattached license sales. And obviously, those come with a very high margin, so they hit us on the margin side as well. On the cloud side, you look at the cloud and you're planting new flags, you're adding new customers, but you also look at the anticipated growth that you expect to get from your installed base, whether it's account growth and transaction growth. I think again, it's mostly Digital Insight and some of the cloud products surrounding Aloha and Hospitality. So I think we'd anticipate a little bit higher pick up there and it's just not materializing as we look at the outlook into the third and fourth quarter.
Kathryn Lynn Huberty - Morgan Stanley & Co. LLC: Okay. Thank you. Bob, congratulations on your retirement.
Bob Fishman - NCR Corp.: Thank you, Katy.
Operator: And we'll take our next question from Dan Kurnos from Benchmark Company.
Dan L. Kurnos - The Benchmark Co. LLC: Thanks. Good afternoon. Mike, look, I know it's probably a little bit of a difficult question to answer maybe on the call, but with the reorg and some of the new hires and some of the re-siloing you talked about, how kind of – actually, I'll try to phrase it this way, how extensive do you think the changes are you need to make down the funnel, either personnel wise or the way that you guys think about things to go forward to get this right-sized, fix the execution issues and sort of get the company on the same wavelength for your future vision?
Michael Dale Hayford - NCR Corp.: Yeah. I think we've made the first big step, which is going to have the biggest impact. Just by the way, if we looked at our organization, we were very matrixed, we're very functionalized. So, when I look for ownership, it could be ownership of taking care of a client, it could be ownership of delivering a product, it could be ownership of P&L, making money, managing expenses, it was very difficult. It all rolled up to Paul's desk or my desk. And we need ownership at a basis unit level. We need ownership at a product level. So we need to bring in strong leaders that do that. Again, I'd say the key thing is the change in that structure so we have that ownership. And you can see we brought in Owen, we brought in Frank D'Angelo, we brought in Tim Vanderham to help us with the IT side, but that ownership's going to be critical. We're going to fill a number of those spots with internal candidates that we have that we think can step up and run a business unit. And then, we will bring in some more people from the outside. I'm going to let Frank Martire speak to this. We've obviously – I've been here 90 days. We've had a lot of people that we've worked with in the past at various places approach us. As Paul has, the people he's worked with in the past, as we've looked at how we get that structure in place and get more accountability and more ownership. So we'll continue to fill those spots. The first step, the biggest impact will be just getting the structure the way we've reorganized starting today.
Frank R. Martire - NCR Corp.: What I would add is top quality people, we know a lot of people, obviously, in the business and the industry. We've quickly brought a lot of people in, starting with Mike Hayford, right as a CEO, and the other people that he's already mentioned, who've been a very experienced people, who understand the business. We will continue to do that. There are other people we will bring in to complement some very competent people that we have here already. And we strongly believe that mix will make a significant difference as we're totally confident it'll make a significant difference as we move forward.
Dan L. Kurnos - The Benchmark Co. LLC: Okay. That's helpful. And then just, Mike, on the portfolio. You talked about maybe some strategic or tuck-in M&A. I know in the past, the management team has talked about kind of tuck-in, either tack or just some complementary stuff. Just your thoughts on size of M&A you might go after, what are some areas you're targeting and are you considering divesting any of the assets in the portfolio at this point?
Michael Dale Hayford - NCR Corp.: Well, let me start with what I found and it's kind of what I expected I'd find. NCR as a brand is just iconic. It's recognized all over the globe. It's recognized in the industries that we serve and it allows us to go in and ask for business. And then, as I've worked with customers and worked on sales opportunities, worked with our sales team, we have a unbelievably strong sales distribution channel all over the world. So to be able to take a brand with that kind of channel distribution is a pretty unique capability that we have really good here at NCR. While we have a lot of products, I actually think we have a lot more distribution capacity than the products that we currently have, which says, let's get more products, and we'll continue to build out products. We've got some products in the R&D pipeline that we'll continue to invest and bring out. We'll do partnerships. I think we can find product companies that we can partner and we can distribute, get them to market and make some earnings off of that practice. And then, we will do targeted M&A. I don't foresee us doing really large deals. We'll do a bunch of smaller deals. We had – prior year history, we would try to do six to eight deals a year with some company I was involved in; and we would just tuck-in products. I would see us doing the exact same thing where we target, four, five, six deals a year, product-oriented, that fit in with our families of products where have a specific brand recognition today, whether it be in the hospitality side, whether it be in the retail side, whether it be in banking. We'll bring those products in, we will integrate them and then we'll take them and distribute them and sell them. It's a strong belief that we have a lot of capacity to distribute. And the more products we can get in that pipeline, the more successfully we can grow.
Operator: And we'll take our next question from Matt Summerville from D.A. Davidson.
Matt J. Summerville - D.A. Davidson & Co.: Thanks. Couple of questions. Just on the comments back to the ATM business, you mentioned you saw a pretty nice increase in orders and backlog. Historically, you've been willing to provide some quantification around that. And I was hoping maybe to get a little more color and potentially even talk about what you're seeing regionally in that space.
Michael Dale Hayford - NCR Corp.: Yeah, I don't know, Bob, if you want to handle some of the – and again, our ATM strength is as much the accelerated picked up on the new model, the 80 Series. And I think, in total, we actually see the ATM markets, I think Bob referenced it being year-over-year flat for us, which is better than we've seen in the last couple of years. I'll tell you that conversations that I've had, Paul's been with me on some of these calls, Frank's been with me on these calls and we go speak to our large bank clients and just talk about what they're planning to do and what they see, we don't have any of them talking about de-emphasizing the ATM as a channel for their retail clients. And so, they all seem to be very firmly committed in the foreseeable future to continue to deploy ATMs and support ATMs. So we expect that to continue into 2019 and into 2020. We see a lot of discussion, dialogue around brands transformation. As you could expect, that industry, the banks are challenged with labor shortages like all the other industries. So they're trying to find ways that they can become more efficient and more automated. And so, some of our ATM products, specifically, our ITM, the Interactive Teller Machine, has a lot of opportunity as we get that out to market and continue to grow that business. But I'll let Bob speak to maybe some numbers here.
Bob Fishman - NCR Corp.: Yeah, sure. Yeah, Matt, the backlog at the end of the second quarter in the ATM business is up low double-digits, and it's been a long time since we've been able to say that. So the last two orders – two quarters have shown strong order growth, double-digit growth this quarter, driving the strong backlog. Typically, that would then translate into a stronger third quarter. But because of the supply challenges, the revenue that we're driving in the ATM business in the third quarter is really only coming from that backlog. So we're not counting on any sell-and-bill. Typically, as you know, Matt, we count on some booking of orders and turning it to revenue in the quarter. We don't have that flexibility here in Q3. The good news there, though, is that we will go into the fourth quarter with a lot of that revenue covered with backlog. That allows us to drive the revenue more smoothly over the quarter. It certainly de-risks the quarter from a selling perspective. And I'm confident that the team will get the supply challenges back on track to set ourselves up for that big fourth quarter in ATMs.
Frank R. Martire - NCR Corp.: And Matt, this is Frank. Our customers and the visits I'm making, and obviously, Mike's making a lot more than me, are not de-emphasizing. They are, in fact, emphasizing the importance of the ATM and their future growth. So that was encouraging to hear.
Operator: And we'll take our next question from Paul Coster from JPMorgan.
Paul J. Chung - JPMorgan Securities LLC: Hi. Thanks. This is Paul Chung on for Coster. Thanks for taking my questions. So just first two quick ones on margin. So on Software margins a year ago, you mentioned you expect Software gross margin to expand about 500 to 1,000 basis points over time. Now, given more of the transition to cloud from license, where do you expect margins to trend and do you have an update for that previous goal?
Michael Dale Hayford - NCR Corp.: Yeah, let me – I'll just give you a little color on that. So, obviously, cloud has been pretty solid for us. We still have a solid license business. License, in the quarter, we book it, it comes through at almost 100% margin. So, as you know, we're trying to transition to more cloud, more SaaS, more recurring revenue in our Software business. Those margins on every individual deal are lower than their initial sale. We think those businesses, long-term, are more sustainable, they're more predictable, and those margins will be better for us. I don't know, Bob, if we have kind of a revised outlook on – just to make sure we're clear. We have a plan and a goal to be more cloud, more SaaS, more recurring revenue in our Software business. What we're looking at today, we haven't made a material shift on those initiatives yet. So the numbers you're seeing are still going to a balance that we've seen historically on software license as well as the SaaS or recurring cloud revenue streams. So I don't know, Bob, if you have any thoughts?
Bob Fishman - NCR Corp.: Yes. A lot of the improvement, Paul, that you talked about, the 500 basis points, exist within our software maintenance and cloud business. So we've talked about that as being below benchmark. A lot of the goodness in those two areas is being masked by not having enough software licenses, primarily because of the attached around Hardware. So, as the Hardware ramps in the fourth quarter, we'll certainly benefit from the attached Software. We continue to make improvements within software maintenance and cloud. Software maintenance, specifically, we've made it easier for our customers to do business with us. There is one or two central points of contact as opposed to 20 a couple of years ago. And then, we're routing those calls to the right places more quickly. So a lot of work is going on behind the scenes to improve software maintenance and cloud. It's the software license that's really driven the margin pressure in the last couple of quarters and that should improve as we drive more of the Hardware.
Paul J. Chung - JPMorgan Securities LLC: Okay. Thanks. And then, just to follow up on Hardware operating margins. So can you just quantify the impact of moving to a more variable cost modeling? Once your manufacturing process starts to normalize and as demand kind of picks back up, where do you see operating margins trending in 2019? Thank you.
Michael Dale Hayford - NCR Corp.: Yeah, Paul, let me just speak – I'll speak kind of generically around what we're trying to do, obviously, with the Hardware business, so a couple of key points; Obviously, the Hardware business operating at a negative margin is not acceptable to us. So we're taking very specific steps along the transformation we're doing in Hardware. We're taking out some of our fixed plant costs, doing some variabilization on that, Adrian's got some additional plans, and as we do that, to help with the supply chain and help with our cost structure behind that. So our goal there is to get that to obviously a positive margin. Let me make one other point before I hand it over to Bob. And that is the impact – the write-down we took on the Hardware business this quarter, so Hardware as a standalone business is operating at negative margin. And as the finance team looks at that and looks at the test they have to do to support the asset on the balance sheet, it no longer passed the test. But I don't want anybody confuse that impacted that decision with what is really a Hardware business. So it's not our ATM business. So, ATMs, we sell a piece of hardware, we sell a stack of software and we sell a services contract, and we make money on ATMs. It's the same story with our SCO. The hardware goes out the door, we put a stack of software and we sell our services contract. So those businesses make money for us and they're not at risk. So I wanted to separate the decision we had to make around the impairment of the Hardware business as a standalone business. We don't really operate – Hardware by itself, it has the attachment of software and services, which come in at a pretty good margin. So, I don't know, Bob, if you want to -
Bob Fishman - NCR Corp.: Yeah. No, I'd just echo that negative OI is not acceptable. Our goal as a management team is to get back to breakeven profitability as quickly as we can. Selling hardware is all about selling that higher margin, attached software and the recurring revenue to Mike's point.
Paul J. Chung - JPMorgan Securities LLC: Thank you.
Operator: And we'll take our next question from Ian Zaffino from Oppenheimer.
Ian Zaffino - Oppenheimer & Co., Inc.: My question would just be on the backlog again. How much – or how quickly do you think you could work that backlog off? And is this sort of the same pace as you've historically done? Is there any sort of change in the timing and the roll out of the backlog? And then also, as you look at the backlog, is the hurdle, first, in order to enter the backlog, similar to the way it's always been or have there been any changes? Thanks.
Bob Fishman - NCR Corp.: Yeah. No, no changes, Ian, to how we determine backlog. We would book the order and then we would take the next 12 months of anticipated revenue as the backlog. So that backlog rolls out over a 12 month period. There really has not been a significant change in conversion rates, but that's not our issue. The nice thing is we've got a healthy backlog going into the third quarter. Our challenge on the ATM side is the additional revenue associated with sell-and-bill. So that's what sets our sales up well for Q4. We'll hit consistent conversion rates of that backlog. That backlog will be significantly higher going into the fourth quarter. So, no change, really, Ian, in terms of what you were asking about.
Michael Dale Hayford - NCR Corp.: And let me just – so a couple of different things. So, one is – so the challenge is really the mix of our ATM, so the 80 Series and the supply chain, which, again, we're addressing. The team has put in place additional suppliers. Those components are starting to roll into the factories. So we'll catch up with some of that backlog in the third quarter. We expect, obviously, to get more orders in the third quarter. So we're going to head into the fourth quarter with a very healthy backlog across – particularly around the ATM business. We have extended one of the plants that was planned to shut down a little sooner. We're going to keep it open until the end of the year to help with that backlog. And so, we feel while third quarter is still going to be impacted by the supply chain, as Bob talked about, however, the second half is going to be third and fourth quarter, we feel pretty good about being able to execute in the fourth quarter and get the product out the door.
Ian Zaffino - Oppenheimer & Co., Inc.: All right. Thank you very much.
Michael Dale Hayford - NCR Corp.: You're welcome.
Operator: And we'll take our next question from Dan Perlin from RBC Capital Markets.
Daniel R. Perlin - RBC Capital Markets LLC: Thanks. Good evening, guys. I wanted to touch base on, Mike, some of the top priorities you kind of outlined. And so one of them is taking care of customers. And when that's been kind of mishandled previously, that typically results in a large price discounts. So I'm just trying to get a sense of what are you saying to these clients? What have you promised them in order to retain them? And how long should those types of things last? Is 2018 really the transition year and 2019 is a new jumping-off point?
Michael Dale Hayford - NCR Corp.: Yeah, I mean, I really think we can address some of the challenges we have this year with the structure we put in place and some of the people we're bringing on board, if I can back up just for a second, so we're going to be focused on growth. So we're going to be focused on how do we grow the company. To grow, we need to have products ready to go out the door, and we have to have customers and clients that are pleased with the service and support that we give to them. And so, we're going to start with the client. We're going to start by having not just Mike, not just Paul, not just Frank, not just Owen, not just the executive team, but everybody touching the client. As I meet with the team members, I ask who is in sales, who's in customer management. And by the time I'm done with our discussion, everybody's got their arm raised. So everybody, every employee at NCR, has to be focused on what they're doing to take care of the customer. We need to do some things very visible to make that happen, but those things are things we can do in the next few quarters. Our goal working through 2018 is to be in a position where we can hit the ground running into 2019 with backlog on our sales, with our products out the door and taking care of our clients and accelerating our growth.
Frank R. Martire - NCR Corp.: Dan, we tell our customers they matter, nobody else does matter, we work for them and our employee – our great employee team supports them, and that's what we do. And then, we execute, and we gain on credibility by doing what we say we're going to do.
Daniel R. Perlin - RBC Capital Markets LLC: Yeah. Can we talk about streamlining for a second? I know a previous question was asked. I don't know if there was an answer to it. But in streamlining, a lot of times you take strategic versus non-strategic assets. And that's part of that plan. I didn't hear much on non-strategic assets today. Mike, is that part of your plan? And if so, is that also something that we should expect to be executed in the next couple of quarters?
Michael Dale Hayford - NCR Corp.: Yeah. I think I referenced the streamlining and simplifying the complexity of our organization was really focused on the clients, how do we touch the clients and how do we get products out the door and how do we do that in a expeditious manner, in a fast manner; as opposed to what I think we've had in the last few years is an organization that was complex and difficult to get either customer care or products completed. So the streamlining is really how do we touch our customer and how do we get products out the door. To your point about how do we look at our portfolio of products is a very valid point and we will be doing that. And again, our focus is on how do we grow, so what products do we have in the marketplace where we can compete and grow. And so, while the streamlining is not specifically addressing that, we will be addressing our portfolio as we go forward.
Daniel R. Perlin - RBC Capital Markets LLC: Okay. And then just one last one quickly. On the new segmentation, just to be clear, so the new NCR is going to be broken down into two segments now, Banking and Commerce, and Banking is ATM, and effectively, Digital Insight. Is that correct?
Michael Dale Hayford - NCR Corp.: Yes, that's correct. And some ancillary products that serve the financial industry, correct.
Daniel R. Perlin - RBC Capital Markets LLC: Okay. So, I just wanted to make sure and then I'll hop off. I understood the commonality that you ultimately have between Banking and this new Commerce platform, which is effectively the retail and hospitality businesses. Thank you.
Michael Dale Hayford - NCR Corp.: Thank you.
Bob Fishman - NCR Corp.: Welcome.
Frank R. Martire - NCR Corp.: Thank you.
Operator: And there are no further questions. I'd now like to turn it back over to Mike Hayford.
Michael Dale Hayford - NCR Corp.: I just want to thank everybody today for joining us on our second quarter call. Just a few closing words. First, I'm obviously disappointed of where we are particularly with our outlook for the full year. Our plan for the remainder of 2018 is simple. We'll stay focused on execution, we'll take care of our clients and we'll improve the quality and the delivery of getting our products to the marketplace. What I found here when I joined 90 days ago is we have a tremendous brand, a world-class global sales organization and a strong pipeline around product innovation. We have a service organization that supports the global footprint and over 30,000 committed employees. I come in to work every day, the 90 days I've been here, I'm excited, I'm energized to be part of this great company. I have full confidence that we'll be getting back on track in 2018 and we'll be positioned for growth heading into 2019. Thanks again for your time and we look forward to speaking with you again on our next earnings call.
Operator: And that concludes today's conference. Thank you for your participation. You may now disconnect.